Operator: Good day and welcome everyone to FEMSA's First Quarter 2017 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the presentation, there will be a question-and-answer session. During this conference call, management may discuss certain forward-looking statements concerning FEMSA’s future performance and should be considered as good-faith estimates made by the company. These forward-looking statements reflect management’s expectations and are based upon currently available data. Actual results are subject to future events and uncertainties, which can materially impact the company’s actual performance. At this time, I would like to turn our conference over to Eduardo Padilla, FEMSA’s Chief Corporate Officer. Please go ahead, sir.
Eduardo Padilla: Good morning, everyone and welcome to FEMSA's first quarter 2017 results conference call. Juan Fonseca and Megaleela Castro [ph] are also with us today. As we usually do we will focus the call on the consolidated figures for FEMSA and FEMSA's commercial results. As many of you probably have had opportunity to participate in Coca Cola FEMSA's conference call last Wednesday. We want to use the call to try to add some color and some qualitative elements to the discussion as well as to hear your views and answer your questions. Hopefully you will find it useful. We started the first quarter knowing that we will face significant calendar headwinds relative to last year. With one less weekend January, one less day in February and a negative shift in the timing of the whole week. Fortunately consumption trends in Mexico remain solid and our team managed to deliver strong results. Our FEMSA commercial structurally we were again able to drive revenue growth and gross margin expansion, which is very positive. Operating expenses grew ahead of revenues putting some pressure on operating margins for the reasons for this are well understood and short term in nature. Therefore we are optimistic as ever about our ability to keep driving long-term earnings growth across our retail format. Our Coca Cola FEMSA Mexico, at Coca Cola FEMSA, Mexico was again our main engine for organic earnings growth during the first quarter. As most of our South American markets continue to face challenging macro headwinds. But we keep growing the platform having now closed acquisition of the added salt based beverage portfolio and we started fully consolidated operation in the Philippines at the beginning of February. Moving on to discuss FEMSA's consolidated quarterly numbers. Total revenues during the first quarter increased 29.1% and income from operations increased 18.7%. On an organic basis that is excluding the result of Vonpar and considering the three, four months of Coca Cola FEMSA Philippines operation for compression purposes, total revenues increased 18.6% and income from operations increased 4%. Net income grew 51.3% in the first quarter, reflecting an increase in other non-operating income driven by the consolidation of the Philippines, as well as by growth in FEMSA's income from operations. This increase was partially offset by higher interest expense and by a foreign exchange loss related to our U.S. dollar denominated cash position as impacted by depreciation of the Mexican peso during this first quarter. Our effective tax rate was 23.7% lower than the expected range mainly driven by the one-time adjustment from the consolidation of Coca Cola FEMSA Philippines operations, as I just described. In terms of our consolidated net debt position, during the first quarter it decreased almost Ps. 7 million pesos compared to the previous quarter to reach Ps. 80 million at the end of March. Moving on to discuss our operations and beginning with FEMSA's commercial retail division. We opened 176 net new OXXO stores during the first quarter, reaching 1,203 net store openings for the last 12 months. This number of opening represents an increase of 28% over the comparable period last year, which is higher than usual for our first quarter and is a great way to start the year. Revenues increased 11.9% OXXO same store sales were up 5.7%, driven by a 3.1% increase in the average customer ticket and 2.5% increase in store traffic. On the subject of traffic, we continue to see stabilization trends in the telephony category after three years of decline and we're seeing solid traffic trends in other categories, particularly services. So this bodes well for our traffic metrics going forward. Moving down the P&L for the first quarter gross margin expanded 120 basis points, reflecting number one, sustained growth of the service category including income from our financial services. Number two, increase and more efficient promotional program with our key supplier partners. And number three, healthy trends in our commercial income activity. Operating income decreased 2.9%, operating margins contracted by 70 basis points, reflecting a top and profitable comparison based in first quarter 2016 when retail operating income grew by almost 28% and operating margin expanded above the trend. Number two an increase in electricity tariffs of approximately 40% year-over-year. And number three, our continued initiative to improve the compensation structure of key store personnel at the store level. And four the accelerated pace of store openings during the quarter, which put pressure on operating leverage. So we are committed that operating expenses are going above revenue, but as I mentioned before the reasons are not structural and we believe these are short-term pressure points. Moving on to FEMSA's Comercio Health Division, we added 16 drug stores to reach 2,136 units across our territories at the end of March. Revenues increased 26%, driven by a solid increase of 21.7% in same-store sales. The reflecting strong performance in South America and the translation benefit from depreciation of the Chilean and Colombian currencies relative to the Mexican peso. Gross margin expanded 60 basis points driven by the contribution of [indiscernible] that has a totally high growth margin than the Mexico operations. However operating margin contracted by 50 basis points in the first quarter, reflecting, number one, the integration of our single operating platform and the development of our distribution capabilities in Mexico. Number two improvements to the initiative and compensation structure for our in-store personnel. And number three, increased services at our Mexico drug stores such as on site doctors and home delivery. For its part, FEMSA’s Comercio Fuel Division added six gas stations during the quarter to reached 388 units at the end of March and 69 net new service stations for the last 12 months. Same stations sales grew 24.8% in the first quarter as average volume increased 0.9%, while the average price per liter increased 23.6%, reflecting national price increases instituted at the beginning of the year. In spite of these price increases and the fact that we have some lower cost inventories at the beginning of January, gross margin contracted by 90 basis points. As gross profit per liter remained flat versus the previous year in peso terms, peso terms per liter. However operating margin expanded 20 basis points to reach 0.7% of revenues, reflecting expense containment and certain operating efficiencies at our service stations. And finally moving on briefly to Coca-Cola FEMSA, total revenues increased 38.4%, during the first quarter including the results of Vonpar Brazil and the impact from the consolidation of Philippines and the tailwinds from currency translation. In Mexico we continue to see growth again driven by solid pricing, we are also rolling out affordability initiatives across our operations that enabled Coca-Cola FEMSA to gain or maintain share in most market. And in Brazil we made good progress in integration and synergy capture of Vonpar. If you were unable to participate in Coca-Cola FEMSA’s conference call on Wednesday, you can access a replay of the webcast for additional details on the results. So summing up the first quarter turnout a little better than we expected with the consumer in Mexico pertaining [ph] to do most of the heavy lifting. As we get started with the second quarter we have high expectations for the month of April given the favorable calendar and the positive trends we continue to see in our main market. And beyond Mexico we’re gradually becoming more optimistic on the second half outlook for Brazil. Certainly we like where we stand in our different businesses. And we are ready to keep working to deliver growth in the coming months and quarters. Now let me turn it over to Juan for a moment.
Juan Fonseca: Hi, everyone, once again just a reminder that we will take just one question per caller. This has worked by well in recent calls and so we are making it permanent. So thanks for that and we can open the call for your questions. Operator please.
Operator: Thank you, [Operator Instructions] and our first question comes from Robert Ford of Bank of America Merrill Lynch. Please go ahead.
Robert Ford: Thank you and good day everybody. With respect to the 190 basis point increase in the expense ratio at OXXO, how much of that is coming from electricity, how much is coming from comp and how do you expect that to evolve over the balance of the year please?
Juan Fonseca: Hey Bob. I mean electricity as we mentioned we talked about 40% year-on-year and as you know it’s one of the more important line items. We've spoken about how electricity for OXXO given all the refrigeration equipment and hardware that we have at the stores it’s almost the biggest rent. So in the expense structure you have the labor being the biggest line item and then you have rent and electricity more or less at the same level. As you also know electricity tariffs tend to be somewhat correlated with the price of fuel and exchange rates obviously play a role there. So to the extent that the peso is more or less stabilizing around where it is today and we don’t have major shocks to the price of oil, we would expect the current levels of energy to remain. Already we have to work through this increase throughout the summer, sometimes as you know CSE will put through summer discounts, which would alleviate the pressure somewhat. We also - we mentioned as part of the recent our ongoing effort to restructure the compensation mechanisms for the people at the store that still has some quarters to run. So I would expect for at least the next couple of quarters to see similar levels of pressure coming from energy and the adjustment to the labor force. And actually the compensation adjustment to go on even beyond the next couple of quarters.
Eduardo Padilla: Yes I will add that probably the compensation at the store level personnel, I will try to sell it as an investment because really with the more the store become more sophisticated I think the better will be if rotation in turnover has been with you at the store level. So really is a bet that we’re doing in order to have a better store operations for the future.
Juan Fonseca: So I think in terms of one-offs certainly we did opened a lot more stores during the first quarter than we usually do relative to the first quarter of last year. And obviously there is some operating deleverage there because you’re paying rents and labor for stores that are taking sometime to ramp up. So we’re still thinking we can probably keep the margins stable for the full year. We’ll update you as the year goes by, but that’s still the thinking at this point.
Operator: And your next question comes from Luca Cippicia from Goldman Sachs. Please go ahead.
Luca Cippicia: Hi, good morning. Thanks for taking my questions. Given that I only got one, hope you’d be able to answer it and just share some thoughts. My question is really on what happened with Heineken in Brazil and the decision to break from the distribution with Coca Cola bottlers, just your interpretation for what you can tell how that in a sense may be a telling in terms of the relationship between the bottlers at Coca Cola factory but your sales at Heineken. And if there’s any update obviously there are other relationships that are existing and appreciate that they are separate no different but I think it would be interesting to hear your views on that decision and also what we can read into it for some of the other relationships? Thank you.
Juan Fonseca: Yes, Luca, this is Juan. Certainly as a factor mentioned a couple days ago the notification came very recently, there’s an agreement in place where Coke FEMSA is still operating business as usual and kind of looking at next steps. So there really isn’t a whole lot to discuss beyond that on the actual what’s going to happen in Brazil. I would say from FEMSA of standpoint I don’t think there’s any change in terms of the broader relationship I would say in terms of orders of magnitude obviously the relationship we have in Mexico between our sole supplier of beer, which is one of the key categories at OXXO and OXXO being the most important channel for Heineken that’s something is to really fly and grow very nicely. The investments in Heineken continues to do well, the share price as you know is back in the low 80s in terms of euro so the returns continue to be there we continue to like what they’re doing. So I wouldn’t read too much into the whole Brazil situation in terms of the broader relationship, I think the broader relationship is larger than that.
Operator: The next question is come from Lauren Torres of UBS. Please go ahead.
Lauren Torres: Yes, hi everyone. Just a follow-up or a little bit dipper into the margin, the operating margin weakness and totally understood that you know why it’s happening and you used the word short-term in nature. But I think you did outline it on the previous question for retail, but can you talk a little bit about health as far as what short-term the impact that we saw in the first quarter if that should though the year-end and how are you thinking about the potential margin weakness are getting to something more flat full year? Thanks.
Juan Fonseca: Hi, Lauren. I think the comments on the short-term nature has more to do with OXXO and we kind of focused or make sure that that message got out there because you have to go back a long, long time to find another quarter when operating income didn’t grow at OXXO. If you look at the health business, it’s really in a very different stage. I mean there is a lot of stuff going on still in terms of the integration of the different regional companies, in terms of the distribution platform. We just opened a new distribution center on the west side of the country. We’re still - we’re opening stores with a new brand in important part of the country basically Central Mexico we have almost no footprint in that region. And so the maturation of those stores is going to take a while. I would say the - it continues to be a situation where the South American business is providing cover for the Mexican business. And I think from an SG&A standpoint or just OpEx growth, I would still look at the Mexican business as the work-in-progress. Obviously the aspiration is that margins, EBITDA margins should trend and eventually catch up with the South American margins, already the South American margins come from an integrated platform and I think in Mexico we are very early days in terms replicating what Socofar have built in Chile over a couple of decade. So, it’s going to take a while for Mexico to get to those is kind of mid-single digit level of EBITDA margins. But as we mentioned as Eduardo mentioned in his opening remarks, there is nothing in the numbers or in the operations that takes away from our confidence that we will get to where we need to get in terms of profitability. And I think on GAS business itself the kind of a different beast in that so many things are still changing. The whole price, the liberalization, it’s happening as we speak during this second quarter we expect maximum price is to go away in the part of the country where we have most of our gas stations. So that should, it should provide a better picture of this business as a proper retail business. Right now it continues to function a little bit like the utility work where the prices are the same for everybody and everybody whether you have a little bit of scale or you don’t, you’re still buying at the same price and selling at the same price, that will go away as we move throughout the year. So I think margins also should hopefully react positively once we begin to operate this as a proper retail business.
Operator: The next question comes from Antonio Gonzalez from Credit Suisse. Please go ahead.
Antonio Gonzalez: Hi, good morning Eduardo and Juan thank you for taking my question. I wanted to talk about the GAS business specifically and I wonder whether you can give us any additional color in terms of sales expenses groom considerably below the top line growth. And I presume there is a number of expenses that are tied to top-line I don’t know merchant discount rates for credit card use such and so on. So I was just wonder if you can give us some examples as to why sales expenses grew 29% or so versus top line growing 50%? And then with the open season or [indiscernible] unfolding over the next few quarters. What’s your most updated expectations in light of this I guess tight expense control? What’s your timing and level to which you expect margins will converge in the following quarters?
Eduardo Padilla: Let me try and go after the second question, this is Eduardo speaking. Basically I think we're in the process of one you say that how to move and how to learn the new regulations and scheme. And at the same time understand how elastic and how prices could be move really depending on each region and depending on each market. We are - we have very strong brand OXXO GAS and that strong brand realize very much on layers per liter, on service, and on promotions. And those three together has made us really a clear differentiator among the rest of the retailer. We just have to be very cautious that don't not to spoil the brand, but being cautious understand how things will be moved ahead. And I think we are optimistic that this very first shop of the very first quarter about margin been exactly - remaining exactly the same in peso terms I think that will be probably something that we will try to understand and move along as we understand how market or how the gasoline price could be moved within different regions.
Juan Fonseca: So I think on the expense part of the question Antonio, I would mention a couple of things, one has to do with the number of people at each gas station. I think OXXO GAS made some progress in streamlining the size of their teams a little bit. Obviously all of our stations in Mexico are full service stations. So you do have a fair number of people working at the gas station, but we are being able to reduce a little bit the size of those cruise, add efficiency to the whole thing. And the other reason I would mention is if you recall couple of quarters ago we were talking about OXXO GAS opening more regions if I recall [indiscernible] we added a regional office there, hired some people. So we put a little bit of pressure on the overhead, and we are now cycling some of those movements. So this is a little bit more of a normalized number. Obviously we will eventually open more regional offices and we will eventually hire more people. So this is going to be a bit of a moving target, but right now I would mention those two as reasons why the operating margin actually expanded 20 basis points even though the gross margin contracted significantly.
Eduardo Padilla: But I will add that that is really some of the things that we have to learn that again we don't want to hurt the service. And so we just have to balance one against the other.
Juan Fonseca: Right, and I think obviously everything we do there the margin will be a consequence. The decisions will be made based on what the business requires.
Antonio Gonzalez: Alright, thank you, Eduardo, Juan.
Juan Fonseca: Thank you.
Operator: The next question comes from Alex Robarts from Citi. Please go ahead.
Alex Robarts: Yes hi everybody thanks for taking the question. So I'd like to go back to health and the focus of the question is around this 32% increase in OpEx and it was a little bit of a surprise on the piece when you talk about the incentive and compensation structure for in store personnel. It seems that the rationale that you've told us back in fourth quarter around doing that in OXXO was the increased sophistication of the stores over the years. But you've really just kind of come into the health stores. And I'm wondering is it the same type of structure incentive and monitoring, non-monetary that you're doing at OXXO or is it different. And the second piece of this OpEx health question is this reference to the increased services seems to be something that we haven't seen before. And at least the onsite doctors and home delivery is this going to continue to be a net expense. Or is there a time in fact this year where you expect to get return from some of these services such that there isn’t a mitigating factor. So you talked both in the fourth quarter that this was a division that could be flat to slightly up in margin. And I'm wondering now with the first quarter do you still feel that way? Thanks.
Juan Fonseca: Hey Alex, it’s Juan. I think on the health SG&A when you talk about intensive composition it’s a little bit different from what we’re doing in OXXO. I think certainly anytime you improve you composition structure that’s going to have good impact on turnover and we have said in the past a lot of what we're doing at OXXO has to do with yes it’s a little bit more sophisticated to manage the store. But, you really want your people to stick around much longer partly because you're training them more and you really want him to stay with us for as long as possible. I think when you look at the health business you have difference as even when you look at America versus Mexico. So in some cases, you have a compensation structure that is linked to some incentives based on what happen in the store. So some of the things that we so in Mexico for example we don’t do in Chile in terms of compensation mechanisms obviously the Chile operation is much more mature. And it just behaves differently because one of our stores down there, there is a lot more people, there is people from some of the suppliers that are demonstrating their products, it’s a very well-oiled machine. I think in Mexico we’re still designing and fine tuning and getting to where we want to be in terms of how we compensate our people. And then I would say the same thing for the doctors onsite and home delivery, I think it - we’ve been analyzing kind of pros and cons of having onsite doctors. Obviously, there is a cost involved the need to figure out if having a doctor onsite actually generates enough scripts and enough incremental revenue to pay for itself or whether the consumer expect it whether the competition does it. And then in many cases we’re coming to the conclusion that yes, it's something that we should have. I so you set it up, you build a little office it has to be not under the same I mean it’s adjacent to the doctor it’s not inside. There has to be some separation and of course the doctor in that sense is really separate from the drug store. I think home delivery is also something that we - it takes a while to figure out where you should have it, and how did you do it, do you have a call center with a centralized - there is one large drug store that maybe supplied a whole region like something we do in Manila many for example or should each drug store have a couple of motor bikes for their own distribution. So, there is a learning curve involved and I think we are - already we know more today than we did a year ago or two years ago. And we are just acting on some of that learning and that intelligence.
Alex Robarts: The Chile versus Mexico split is that possible or you better not share that with us in health in the margin.
Juan Fonseca: No, I mean we don’t really want to get too much into the integrity of the different regions. One comment that we are happy to make has to do with same store sales and we did it last quarter, and we can talk about how if you look at the number as reported already it's something like 20%. But that includes the currency translation the benefit from the Chilean peso, the Columbian peso. When you look at local currency, we saw South America grow in the mid to high single-digits whereas Mexico was actually flat to a little bit down in terms of same store sales. So back to my comment about how South America is providing cover for Mexico, which continues to be a work-in-progress. In terms of the actual SG&A per region, I don’t think we want to get into that level of detail Alex.
Alex Robarts: Okay, thank you.
Juan Fonseca: Sure.
Operator: Our next question comes from Pedro Leduc from JP Morgan. Please go ahead.
Pedro Leduc: Hi, everyone. Thank you for taking my question. On the OXXO stores, if you could help me reconcile following three pieces, the tickets rising below inflation, which is not that we used to see, but on the other hand traffic rose at the fastest pace in a while. So, in this sense could we interpret this as perhaps people were less often to the stores or buying a little bit less more often but buying less once they are in it. Or another reason could be you looking not pass on all pricing in order to move in relative traffic especially as your gross margins expanded regardless. So any color on this combos ticket, traffic, gross margin how it’s changing this year could be welcome? Thank you.
Eduardo Padilla: I will - this is Eduardo speaking. I think the Holy Week really the stores a little bit our number because usually the Holy Week is very heavy in ticket and unfortunately now I mean we already have learned almost April is over and the results are very good, really comparing with the previous month, really unfortunately Holy Week makes a major impact on the store performance. I would say probably 3.5, 4 percentage points of performance of same-store sales are built in within the Holy Week. So I think that is really has affected the results. And the other one is one less day in February, this year we had one less day in February we didn’t have 29th which we did got the year before I don’t know if you want to add anything Juan.
Juan Fonseca: Yes, hey Pedro. I think another thing to keep in mind is that as we mentioned the traffic and you have heard us talk for the last couple of years really about how telephony was putting pressure on the traffic number, telephony numbers were really falling up a cliff and they were obscuring in many way healthy traffic trends on the rest of the categories. And we spoke the last few quarters about how the other categories were growing below low single-digits and I think that’s what you continue to see. You no longer have a drag from telephony so you’re seeing the low single-digit growth in other categories, but one of those categories that drives a lot of traffic is services, financial services in particular and the ticket for some of those transactions when the customer, I mean ideally they will come to pay their bills or to make a deposit and they will also pick up some snacks and a beer or whatever. But there are many people that just come in for the service transaction, which tends to be a smaller ticket than average. So some of the benefit on the traffic side actually results in a slightly smaller ticket. One thing that I want to be very clear on is whatever price increases we are getting from our suppliers we are passing straight through. So we’re not eating any of the price increases at all. I think to Eduardo’s comment that we did see and I know this is on some of your minds there’s about a 4 point differential coming from calendar shifts. So the 5.7 number that we reported would almost be 10% on a comparable basis. Obviously some of that benefit is going to manifest itself in April. So sometimes it’s just better to look at the first half as a whole which I'm sure we’ll do in three months. So those would be the comments probably remembering that we are very surpassed the $7 million point in terms of [indiscernible] cards, we are in the first year of having both HSBC and Banorte as part of our corresponding banking. So all of that is helping the financial services drive traffic, but it can be a smaller ticket than average. So those will be my comments.
Pedro Leduc: That’s helpful, thank you very much.
Operator: [Operator Instructions] Our next question comes from Julie Shariely [ph] from Bird Intelligence. Please go ahead.
Unidentified Analyst: Thanks for taking my question. Just wanted to come back to the store openings for OXXO and high number of 176 in the quarter. Just wondering what you were seeing in the market place that led you to take advantage of some opportunities and build out more stores and maybe is your normal cycle?
Eduardo Padilla: This is Eduardo speaking, some of the competitors that we have within the convenient store industry with the same format. They are not opening many stores and some of the people that used to leave stores to them are coming up to us. So I think we’re taking advantage of that temporary opportunity. And number two, I think we’re in a very - the closing of last year wasn’t that very good and it wasn’t very good because not because we didn’t have stores, because the stores probably were not able to be finished at the end of the year. And we have resolved that opening up stores at the end of the year in the best month of the year, sometimes is very dramatic for the store performance and the people of the store. So probably we decided to delay those stores and open them up in the very first quarter. I don't know if you want to add to that.
Juan Fonseca: Yeah no I think that's exactly what I was thinking about, I mean if you look at our 2016 number, we came a little bit short of the 1,200 number. And I think it had a lot to do with what Eduardo just described, which is once you get to December, which is your by far your best month in the year you don't want people to be distracted by opening more stores. So some of the stores that we open in the first quarter of this year probably were kind of the tail of the one that should have been opened in December. But still I mean it's a very good way to start and I think it puts us in a good position to aspires to reach the 1,200 number this year and perhaps to a little bit better than that.
Eduardo Padilla: Yes.
Unidentified Analyst: Okay, thank you.
Operator: Our next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, good morning thanks for taking my question. I just wanted to understand a little bit about your expansion in Chile. I mean really heard new this week that you’re opening store and there is the conversion of the 12 Big John stores and to my understand [ph] there are 50 of Big John in Chile. So as - you could you give some more detail on how you’re expecting to grow in the region I mean is it going to convert them or you're going to open more stores, just a little bit more on that. Great thanks.
Eduardo Padilla: Yeah. At the end we will up - this is Eduardo speaking. At the end, we will love to have only one format and only one brand. And I think the challenge is really how fast and how we are going to be able to change the value proposition. Just comment, Big John prices sometimes are too high for our standards. And as a typical convenience mindset where you think since you don’t have much of anything you have to price it very at a very aggressive price. We - and also think differently, the thing that one important advantage was to have very reasonable prices and very competitive prices among different form I mean we compare ourselves with big box format. And I think the lack of scale probably also is hurting Big John. But I think those two things flows the evolution or the value proposition how to have the right assortments to have the right catalogs because really what we found is an operation that has extraordinary good locations but very poor operating procedures. And I think we are in the process of - we shifted the origination investing in the stores marginally just to have to Big John brand will not hurt more and but try to move and start converting some of the stores. In fact one of the OXXO store that we opened up in Chile is a good way for the rest of the organization to have an example where we would love to go. So I think is working well and definitely will give a good position so the rest of the employees would understand what we're trying to sell, what we're trying to go and how we want them to be part of it.
Juan Fonseca: And I think general you should expect just not only to eventually convert the existing Big John stores as Eduardo said to the OXXO brand, but also to open on a kind of a greenfield or from scratch. So definitely we aspire to have more scale in San Tiago and the rest of the country. But there is some learning that have to take place in terms of fine tuning the value proposition and then eventually once you get that right then it's a lot easier to just scale up.
Unidentified Analyst: Thanks for clarify that. Is there any time table or guidance that maybe you could give us and how many OXXO stores you have by the end of 2017?
Juan Fonseca: Well internally I mean obviously we have a very clear idea of what we're trying to do. But I think we want to create expectations. It's going to take a little bit of time and just assume that in order for it to be kind of work our while to be in Chile we aspire to have a much more significant store base eventually.
Eduardo Padilla: And I think we have learned that by investing in Big John I think probably we save three or four that the ones that we have invested in Colombia in order to these challenges of opening of store in Colombia. I think by investing in Big John would probably save three to four years.
Unidentified Analyst: Okay. Thank you.
Operator: Ladies and gentlemen that is all time we have for questions today. I'd now like to turn the conference back over to Mr. Padilla for closing or additional remarks.
Eduardo Padilla: Thanks everybody. We’re very pleased and that you were around. And we hope to come up with this also in the next quarter.
Juan Fonseca: Thank you everyone. Have a good weekend. And obviously if you guys have follow-ups Eduardo and myself are around, we can obviously either do it by email or if you want to call us up that's great too. Thank you.
Operator: Ladies and gentlemen if you wish to access the replay of the webcast for this call, you may do so at FEMSA's Investor Relations website. That does conclude our conference for today. Thank you for your participation. Have a nice day. All participants may disconnect.